Operator: Thank you for joining us for this morning this morning Second Quarter and First Half 2013 Earning Conference call for Navios Maritime Partners with us today from the Company are Chairman and CEO Ms. Angeliki Frangou; Chief Financial Officer, Mr. Efstratios Desypris; EVP of Business Development, Mr. George Achniotis. The conference call is also being webcast. To access the webcast, please go to the investor section of the Navios Maritime Partners website at www.navios-mlp.com and you will see the webcasting link. Now I would like to read the Safe Harbor Statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical fact. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners’ management and are subject to risks and uncertainties which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Partners filings with Securities and Exchange Commission. The information set forth herein should be understood in light of such risk. Navios Partners does not undertake any obligations to update the information contained in this conference call. Thanks. At this time I would like to review the agenda for today’s call. First Ms. Frangou for opening remarks, next Mr. Desypris will provide an overview of Navios Partners’ second quarter 2013 financial results, then Mr. Achniotis will give an operational update and overview of market fundamental and finally Ms. Frangou will offer concluding remarks and will open the call to take your questions. I’d now like to turn the call over to Angeliki Frangou, Chairman and CEO of Navios Maritime Partners, Angeliki.
Angeliki Frangou: Thank you [Laura] and good morning to all of you joining us on today’s call. As many of you know the drybulk market has been challenged by various macroeconomic concerns. And even though for China, stagnant economic activity in Europe and a slowdown in emerging markets have all played a role in the currently difficulty drybulk market. Navios presence has not been distracted by the noise of this event, but has focus on positioning itself to take advantage of what market speaks and market growth. We recently announced a quarterly distribution of $0.4425 this represents an annual distribution of $1.77 and a current yield of about 11.8%. We believe that in time investors will find a Navios Partners’ yields extremely attractive as it represents more than two times the yield of the Alerian MLP Index of about 5.6%. We are committed to our distributions to this end we have worked hard over the past six months engaging novel term loan with raising, taking cost out of our system initially in low leverage and a flexible chartering strategy. As a result of this hard work we can assure investor that the current quarterly distribution is secure for the balance of 2013. In addition, the current quarterly distribution is secure for all of 2014. We think that providing this guidance for the investment community should provide comfort. We feel that drybulk environment is brightening. Our rates have doubled recently. Overall demand for transportation services continues to grow and we anticipate that total mines will grow at the price of iron ore moderate. It will then be – for China to import iron ore not to mine it locally. Although vessel supply weighs heavily on the short-term outlook scrapping of all the vessels and I think it’s a order book, it is acting to balance the market. 2012 was a record year for scrapping, and we expect to come close to that amount in 2015. Also the order book is much healthier if less than dramatic reduction in vessel deliveries for 2014 with significant – likely for 2013. With this typical recovery on the horizon NMM remains along some of which we are uniquely positioned to take advantage of this market recovery. As you can see from Slide 2, Navios Holdings owns about 23% of the equity of Navios Partner. With Navios Holdings assistance, Navios Partners has become a key player in the dry bulk industry. Today Navios Partners has a market capitalization of about $1 billion and then enterprise value of about $1.2 billion. Navios Partners has a conservative balance sheet with net debt representing only 26.3% of charter adjusted evaluation and 18.1% of total capitalization. Consistent performance has enabled Navios Partners access to capital market and provided Navios Partners the ability to grow its fleet and cash flow in fact since NMM went public in November of 2007. We have increased our fleet more than four times today with 125 vessels with an average charter duration of about 2.7 years. Slide 3 sets forth for the sum of our efforts to secure the current distribution for 2013 and 2014. As you may know we recently completed inaugural transaction of assessing the Term Loan B market where we have $250 million this institutional market provides us access to new lenders as traditional sources of [ship] we announced continue to shrink. Successfully completing the transaction is just one of many examples of Navios ability to quickly identify and respond to paradigm market shift, while maintaining steady access to ship capital. We found our initial entry into this market satisfactory in this market we are able to negotiate the following favorable terms. LIBOR plus 425 basis points a five-year term annual amortization of 1% higher advanced rate of 70% versus 60% for traditional commercial bank, and relaxed loan to value maintenance requirements of 80%. The cash servicing requirements for Term Loan B is approximately $17.5 million less annual when compared to an identical amount in the form of a traditional commercial bank loan. Additionally, I also wanted to know that we used about $75 million of the loan process to fund the previously announced transaction of four vessels. This significantly reduces our cost break-even to $8,601 per day per vessel and we’ll become accretive to common unit holders by $0.06 in the same rate. We have reduced all cash requirements to the extent possible. We have less than $6 million of debt amortization in the next two years and no debt maturities before 2017 in non-funded CapEx. We also maintain a low level of the ratio of $18.1 million net debt to capitalization in the last cash filings of about $161.4 million. Finally in further proof of our hard work over the past number of months, we negotiated a $13.3 million over advanced payment of charter hire for Navios Melodia. We receive this amount without discounting for present value and in a complex transaction revolving around the bankruptcy. Slide 4 shows our liquidity position as I have mentioned, we have a total cash of $161.4 million in total debt of $345 million. We have a low net debt capitalization ratio of 18.1%, announced significant maturities until 2017. Slide 5 shows a multiple ways we have been able to grow our fleet and distributions. Since our IPO in November of 2007, we have grown distributions by 26.4% in that fleet capacity by 325%. We have done so with through values of balance. We have also recognized purchase options and that we had in our chartering vessels. More recently, we have been active in the S&P market and we will continue to use this market to improve our fleet and opportunities arise. At this point, I would like to turn the call to Mrs. Efstratios Desypris, Navios Partners CFO, who will take you through the results of the second quarter of 2013. Efstratios?
Efstratios Desypris: Thank you, Angeliki. Good morning all. I will briefly review Navios financial results for the second quarter and six months ended June 30, 2013. The financial information is included in the press release and summarizing the slide presentation on the company’s website. We consistently have strong operational and financial performance. Additionally as Angeliki also mentioned earlier, we continue to take appropriate measures to solidify our balance sheet and lower our cash breakeven. These actions allow us to remain committed to minimum annual distribution of a $1.77 per common unit for 2013. Furthermore, the current quarterly distribution is secure for all of 2013. Also on the Slide 6 revenues increased to $49.2 million mainly due to 264 more available days for the second quarter of 2015 compared to the same quarter of 2012. EBITDA increased by 23.8% or $8.6 million to $45 million mainly due to the $10 million received in advance on the management of (inaudible). Net income has been negatively affected by $2 million non-cash write-off of Fed financing fees associated with the refinancing of our credit facilities and the $3.2 million non-cash write-off favorable lease relating to the management of [Via]. Excluding this one of items, net income would have been $24.7 million, 48.3% higher than the corresponding period of last year. Operating surplus for the quarter ended June 30, 2013 was $40 million, 35.6% higher than the corresponding quarter in 2012. Our fleet continues to perform well special utilization for the first quarter was 99.9%. Moving to the six-month sale operations, time charter revenue increased by $2.3 million to $99.4 million, mostly because of 578 more available days, EBITDA increased by $8.9 million to $82.1 million mainly due to the payment received in advance for the management of Via mentioned above. Net income has been negatively affected by $2.4 million non-cash write-off of the Fed financing fees associated with the prepayment and refinancing of our credit facilities, and $3.2 million non-cash write-off of a favorable lease relating to the management of Via. Excluding this one off items net income would have been $41.4 million, $7.8 million higher than the same period in 2012. Operating surplus for the six months ended June 30, 2013 were $71.2 million, which is 20.5% higher than the corresponding period in 2012. Turning to Slide 7, I will briefly discuss some key balance data for the June 30, 2015. Cash and cash equivalence including restricted cash balance $161.4 million. As we mentioned earlier, during the quarter, we completed the issuance of the Term Loan B which was used partially to refinance existing debt and also to finance the acquisition of four vessels. As a result, long-term debt including current portion increased by $45.4 million. Out of this amount $98.2 million still remain in this escrow and will be released upon the delivery of the new vessels. Based on the carrying destruction the debt amortization for the remaining of 2013 amounted to $1.3 million and $4.5 million for 2014. Net debt to book capitalization at the end of the quarter reduced to 18.1%. As of June 30, 2013, we were in compliance with the financial covenants of all our grid facilities. Next one is Slide 8. We declare a distribution for the second quarter of $0.44.25 per common unit. Or current annualized distribution of $1.77 provides with an effective yield of 11.8% based on yesterday’s closing price. The record date for the distribution is August 8 and the payment date is August 13, 2013. Total distributions for the quarter amounted $29.9 million. Our common unit covenants for the quarter was 1.38 times. Our consistent strong financial performance enables us to secure our distributions for 2013 and 2014, and they remain committed to a minimum annualized distribution of $1.77 per common unit for 2013. I have to remind you that for U.S. tax purpose a portion of our distribution is treated as a return of capital. Also we deployed the cumulative (inaudible) distributions to common unit holders on (inaudible). Slide 9, demonstrates our strong relationship with the key participants in our industry. We have quality charters with an average remaining period of almost three years. This charters are spread among a diverse group of counterparties. In addition we have insured certain of our long-term charter in our conducts for Fed default with either a AA rated insurance company in the EU, or our sponsor Navios Maritime Holdings. In Slide 10, you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Our fleet consists of 25 vessels, 8 Capesizes, 14 Panamaxes and 3 Ultra-Handymax vessels. We have a relatively young fleet with an average age of 6.7 years as compared to the industry average of 19.5 years. We have currently contacted 95.6% of our available days for 2013 and 44% for 2014. We feel that we have positioned well the company to take advantage of an expected market recovery. Expiration dates are staggered and it is on the durations extend to 2022 related. I now pass the call to George Achniotis, our Executive Vice president of Business Development, to discuss the industry section. George?
George Achniotis: Thank you, Efstratios and good morning all. Please turn to Slide 11, world GDP continues to be driven by developing economies which now contribute a higher percentage of total world growth than the developed economies. Representing over half of the global consumption of most commodities recently the IMF slightly lowered its forecast for world growth to 3.1% for 2013 and 3.8% for 2014. Developing economies are projected to grow at 5% in 2013 and 5.4% in 2014 the Chinese economic growth was also reduced slightly to 7.8% in 2013 and 7.7% in 2014. Turning to Slide 12, the primary engines of trade growth continue to be China and India with other emerging countries adding strong growth. Dry bulk trade has expanded by an average of 5.5% per year in the last decade. Since China joined the WTO. Consensus focus for 2013 and for global dry bulk trade to grow approximately 5% in ton mile growth of about 7%, a similar growth rate is estimated for net fleet growth, leading to bind supply-demand dynamics. Moving to Slide 13, currently just over 50% of the world’s population resides in urban areas. That figure is expected to grow to 67% by 2050. I think approximately 2.8 billion urban residence with a large portion of urbanization occurring in the Asia pacific region. As you can see on the right hand graph income growth support increase metal demand. The rising global income and the shift in the global economy toward Asia should support increase ton miles for (inaudible). Moving to Slide 14, iron ore from the major mining companies continues to be at the lowest cost highest quality source of this commodity. With iron ore prices forecasted to decline to the $100 a ton range, significant Chinese domestic production was represented by the red boxes in the lower right graph will become an economic. We currently plan expansions of mines speeding seaborne iron ore on load with an additional 205 million tons per year in 2013 and more than double that amount in 2014 with further growth in the following years. While them I do with exposition in are in Australia over 30% will come from the Atlantic Basin adding 10 miles. Turning to Slide 15, with continued development in urbanization of China will contribute significantly to steel consumption in 2013 and beyond. Infrastructure housing and construction, and consumer spending growth we will continued stronger bean future development. Note that Chinese peaks does investments have continued to grow at over 20% year-on-year through the end of June. Crude steel production in China in first half of the year was about 9% more than the same period last year. China imported 385 million tons of iron ore about 5% more than the amount imported in the first six months of 2012; and imported stockpiles have been drawn down steadily from 98 million tons at the end of August 2012 to 71 million tons at the end of last week, loss not seen since Q2 2009. Domestic iron ore production increased 8% year-on-year but quality seems to be deteriorating as effective FE content hovers in the 15% range compared to 63% FE content of imported ore. Going forward the substitution of low quality domestic iron ore with imported ore is expected to grow and we increased the tons guide and ton miles. The chart on the upper right shows historical and forecasted Chinese coal imports. China was the world’s seventh largest coal importer last year importing just 1 million tons less than Japan’s 179 million tons. This year China is expected to become the world’s largest importing about 200 million tons. So far through June Chinese imports are up 13% year-on-year over 2012. Turning to Slide 16, scrapping rates for older, less fuel efficient vessels have continued at very high rates this year. Through July 19 about 14.1 million deadweight tons was scrapped. If this trend continues scrapping could exceed 26 million tons in 2013 becoming the seventh highest yearly total in deadweight ton terms ever. The current rate environment should encourage scrapping of all the vessels about 11% of the fleet is over 20 years old providing about 76 million tons of scrapping potential. Of note is that the current 2013 scrapping totals already include 14 ships that were less than 20 years old, four that were less than 15 years of age, in London it was 10 years old. As demolition prices appear to depend on other steel prices and not only supply of vessels, we are expected to remain and we believe we will continue to see the scrapping of older, less efficient vessels. Moving to Slide 17; net fleet value additions in 2013 are expected to be significant in lower than last year. Non-deliveries through June amounted to 44%, this combined with higher scraping means that net fleet growth could approximately hold the expected increase in demand during 2015. The order book is expected to decline dramatically through 2014 and beyond. And it is expected to remain that why as banks continues severe restrictions on new building loans. Moving to the next slide, Slide 18 provides a retrospective on the rate environment and considers the impact of supply demand equilibrium on rate recovery for 2013. As we all know for any rate recovery to be meaningful and lasting, fleet growth rates need to fall below trade growth rates. As mentioned earlier, demand for dry bulk cargo is expected to increase in 2013 by about 5%. The same rate is the expected net fleet growth for the year. However, the rate of change suggests the demand for drybulk vessels will increase in 2013 and beyond, as new building delivers continue to decelerated and scrapping remains at record levels. In sum, we note that for the first time in four years, there is an expectation that net demand will hold or exceed supply. Consequently, we could see Panamaxes and Supramax rate levels pick up during the second half of the 2013 throughout to the Cape rally seen recently. We note this as these conditions were not evident over the past few years. Please now turn to Slide 19. The Baltic Dry Index opened in Q2 at 896 and hit a low of 801 on June 5. Since then increased exports of iron ore, coal and grain out of South America pushed the index dramatically up to a pickup 1179 on July 1, its highest level since January 2012. This increase was concentrated in cap rates which increased about 200% in June with more gradual increases in the smaller sizes. Subsequent to its July 1 pick, the rates have remained close to similar levels. During the second half of the year a slowing trend in fleet growth along with significant additional iron ore export capacity in both Brazil and Australia should at least support even though increased earnings especially in the Capesize sector. Both the Panamax and Supramax sectors should receive support over the medium to long-term by Chinese coal and grain imports. The UN expects China to double grain imports between 2012 and 2022 a further slowdown in deliveries combined with the gradual recovery in the world economy should bode well for improving fundamentals in 2014 and 2015. This concludes my presentation. I would now like to turn the call over to Angeliki for your final comments. Angeliki?
Angeliki Frangou: Thank you, George. This completes our formal presentation and we will open the call to questions.
Operator: (Operator Instructions) Our first question comes from the line of Chris Wetherbee with Citi.
Christian Wetherbee – Citi Research:
, :
Angeliki Frangou: Good morning, Chris.
Christian Wetherbee – Citi Research: I guess when I think about the kind of guidance you gave around their dividend sustainability I guess because maybe the first time I heard you be so adamant about 2014, about the 2014 targets I guess. Is it really kind of just the Term Loan B there and the fact that you’ve added some incremental vessels at very low breakeven cost? I guess, when you think about 2014 kind of how much rate improvement are you factoring? I just want to make sure I’m kind of understand what the drivers of the surety around 2014 dividend distributions?
Angeliki Frangou: Number one is of course the Term B Loan book very accretively your cash breakevens on new acquisition is now $8,600 and our overall cash breakeven came down because we have a huge savings and also give us visibility beyond the two years. To be honest, you’re saving about $17.5 million per year from amortization profile, regular amortization. But the one thing that the additional vessels that provide the biggest pool of assets and that serves in a very important point is that we got an accelerated payment, advanced payments for the Navios Melodia, so we got all the future earnings of the vessel until March of 2016, we got it undiscounted today. Plus we have all the mitigating benefit above the flow of 15,000. So you realized we have cash in our balance sheet always additional earnings and also another thing that we see also very positively after negotiating on some of our other vessels with major class for delineating clash for (inaudible). We have seen now that there’s a substantial move on the fixing and forward, the vessels for two or three years at quite higher levels. And we have seen now for the first time in quite a period a five-year market that is very, very attractive at about 18,000, which is, I think, something that makes us very positive.
Christian Wetherbee – Citi Research: That’s helpful. And that was actually going to be my follow-up. We’ve been kind of hearing the same thing that there is getting to be a little bit more depth in the term charter market. So when you think about five years or actually is a bid out there around $18,000, could you even maybe put a little bit of color around the thoughts around the availability of maybe two, three and maybe five-year charters out there? And I guess would you be willing to go that long as you start to think about the profile of the ships coming off of contracts and the new ones coming in?
Angeliki Frangou: I mean, certain vessels – I mean, we will actually benefit from the mitigating levels we already have. So you see that there is a benefit here to be done.
Christian Wetherbee – Citi Research: Okay. That’s helpful. Okay, that’s very helpful. Thanks very much for the time. I appreciate it.
Angeliki Frangou: Thank you.
Operator: Your next question comes from line of Michael Webber with Wells Fargo Securities.
Michael Webber – Wells Fargo Securities LLC: Hi, good morning, guys. How are you?
Angeliki Frangou: Good morning.
Efstratios Desypris: Good morning.
Michael Webber – Wells Fargo Securities LLC: I just wanted to quickly piggyback on the other question on the dividend guidance and it definitely seems pretty deliberate and it’s the first time you guys have kind of gone out and given some security around the 2014 dividend. And you may be coming at it from a different perspective. I’m sure when you guys were thinking about doing that, you were thinking about a timeframe and whether or not you would talk to 2014 or 2015. So maybe if we kind of look out beyond 2014 or we look at maybe the 2015 scenario, what about that portion of the curve, that portion of the market kept you from giving more security more than just kind of the 18 months? With the caveat the near-term securities, obviously are positive, just curious as to what kind of truncated it to 2014?
Angeliki Frangou: No, no. Let me, Mike, maybe I want to make sure, we have committed to our dividend.
Michael Webber – Wells Fargo Securities LLC: Okay.
Angeliki Frangou: They easily we can give you visibility because we have the cash in our balance sheet and we have full outlay of cash flow maintenance on low break-even. We’ll have full visibility of what is coming in front of that…
Michael Webber – Wells Fargo Securities LLC: Yeah.
Angeliki Frangou: With the reason of assumption or something; we are not saying that we are not committed overall. This is something we believe that is important to our investors and shareholders. So it’s something that we were permitted. But I don’t have a crystal ball to tell you how exactly all earnings will be forever. We believe the environment is even much better. We’re talking about talking about having the cash on your balance sheet. We believe we have no problem of committing of being able to have very strong cash flows and you have royalty mix and these strategies that it is providing a real benefit. We acquired new vessels. We created Term Loan B which brings you an incredible competitive advantage. Let’s be real guys.
Michael Webber – Wells Fargo Securities LLC: Yeah.
Angeliki Frangou: You have a new building Capesize at the cost of $8,600 and you can sit down five year at 18. So in the Term B Loan market is not less finance market, which is limited. So we have an increased volatility that will grow the company.
Michael Webber – Wells Fargo Securities LLC: Yeah. No, I think that the increased visibility is definitely a positive. Just curious as to the timeframe that was chosen and kind of what went into that decision, but that makes sense? I want to jump to the Term Loan B, which I agree that seems pretty helpful. You mentioned and we’re going to go in the opposite direction, but I think there is a caveat in there that the covenants do not restrict you from or don’t restrict you continuing to pay the dividend. Is there any restriction from moving it higher? I know that is not necessarily on the table right now given where the market is, but if we look out four to five years, I mean is there a restriction on moving that?
Angeliki Frangou: No, no there is no resections. I mean it will never have gone with an MLP to something that will restrict us but what I want to repeat and I think this is a very strong statement is think of your break-even on a new building Capesize of 8600 and your ability to really add vessels with a capacity of the term loan B. And this you can do and that will easily provide you about $9000 to your bottom line if you do it a five-year deal. So you realize this is quite accretive for the company. Hence the lot of work that we did, I mean we took the company we rated the company, we’ve got one of the highest ratings for the drybulk company in shipping BB and we are working on really stable cash flows forward. So of course we are not going to fix on the same rate we had before but you will have a largest fleet with full of vessels. And this is what our strategy was and that’s how we’re implementing it.
Michael Webber – Wells Fargo Securities LLC: All right, this improves the margin. Now that makes sense. Just one more for me and I will turn it over around the Melodia. I know this is – I mean this has – I mean, this has been the KLC and you guys have been disclosing for a while that I mean they have obviously been a receivership and that they have been – the original charter was performing as long as they are paying you directly. And it seems that you pulled forward. It sounds like you pulled forward some value with a floor rate that I think sounded like around $15,000 a day. Forgive me if this is listed somewhere and I just missed it. Can you guys talk about that charter? I mean that is a pretty lucrative charter. It is $37,000 a day, I think through 2022. Did you give away any sort of tender on that contract when you pulled for the cash or where did that stand exactly?
Angeliki Frangou: The remaining charter remains in tact the only good accelerated payment for period until April of 2015.
Michael Webber – Wells Fargo Securities LLC: All right. So after April 2015 it goes back to KLC at the original rate. And in the meantime you guys are running it on your own and they basically pay you difference between $37,000 and I guess a floor of $15,000?
Angeliki Frangou: Yes.
Michael Webber – Wells Fargo Securities, LLC: Okay. So you guys are actually out there running that asset or chartering that asset in the market right now?
Angeliki Frangou: Sorry, just to clarify we have paid above $15,000, we have got all the accelerated cash flows, so we have no credit risk and we will deploy the vessel in the market.
Michael Webber – Wells Fargo Securities, LLC: Right. Okay. That makes sense. I think that’s all I had. Thanks for the time guys.
Angeliki Frangou: Thanks.
Operator: Your next question comes from the line of Chris Combe with JP Morgan.
Nish Mani – JPMorgan: Hey, good morning guys. This is actually Nish on for Chris. Sort of follow up real quick with Mike’s point about the Melodia. Did you say that the market to the vessel is actually going to be a recharter in the market right now in addition to the $10 million upfront?
Angeliki Frangou: Yes, we’ll get $13.3 million advance payment and we will be fixed in the market, so we can recharter it as margin.
Nish Mani – JPMorgan: Okay, great. And it will be rechartered and redelivered to KLC at April of 2015?
Angeliki Frangou: Yes.
Nish Mani – JPMorgan: Okay, great.
Angeliki Frangou: 16.
Nish Mani – JPMorgan: April 2016?
Angeliki Frangou: Yeah.
Nish Mani – JPMorgan: Okay, great. And then, just really quick one follow I’m going back to the Term Loan B. We noticed that for the four vessels you guys levered up a little more to 70% versus 50% with prior guidance. I just kind of wanted to get some color on what was the driving rationale there to kind of finance this with less equity?
Angeliki Frangou: Overall, we have a very low leverage of $18.1 million net debt to capitalization. I mean with amortization profile of 1% and then a relatively very low cost of LIBOR plus 425. It made sense on a break-even basis. Actually it brought that break-even down and will pick up an additional $10 million are assumed financing from bank I mean what we would take into what have advance of a $10 million additional advance plus low break-even.
Nish Mani – JPMorgan: Okay. And do you guys think this is the structure you could replicate going forward for additional vessel acquisitions as we kind of move into 2014?
Angeliki Frangou: Yes, because you have the ability to do add-ons and so we are able be to see there is an additional cost while we are (inaudible) vessels and to be honest this is a very attractive alternative to traditional ship lending where you have the decision of different branch not be able to expand their portfolios.
Nish Mani – JPMorgan: All right, okay. Great. I really appreciate the help guys. Thanks so much.
Angeliki Frangou: Thank you.
Operator: Your next question comes from the line of Joshua Katzeff with Deutsche Bank
Joshua Katzeff – Deutsche Bank: Hi, good afternoon.
Angeliki Frangou: Hello
Joshua Katzeff – Deutsche Bank: I just wanted to start off on some of the recent charters that you booked this year. And I guess since last quarter it looks like there have been five ships kind of rechartered. They all seem to be at kind of this I guess three-month to one-year time charter range. Can you talk about your near-term chartering strategy?
Angeliki Frangou: On what we see that the market is start being able to longer deal that’s why we gave, we saw the two and three year market on the Capesize coming back. The Capesize is a most volatile of the vessels and that’s where you see, when optimist comes back where we see this happening and what we have recently seen. We’re seeing also a five-year market. So I think that this is an extremely positive event and we think we will be beneficiary and as you moved to Q4 which is seasonally stronger, you will have more of this activity.
Joshua Katzeff – Deutsche Bank: So for I guess for those four or five, four vessels Q4 that come up in Q4, I guess November, December should we expect to see longer terms there? Like one to three years?
Efstratios Desypris: Oh, yes, I think we’ll be able to see the longer durations.
Joshua Katzeff – Deutsche Bank: Got it. And one more question on the Melodia. Just for accounting purposes, is it going to be still treated at $29,000 per day in the chart or even though you are kind of operating it you go for the cash? Or for accounting purposes is it going to be accruing at some sort of spot rate?
Unidentified Company Representative: Take more in detail, but more in sound they will, it will be a long-term payment and then for the period and then we’ll be this for earnings.
Unidentified Company Representative: And if you see our accounts, that what you will see is that we have already taken in the P&L of $10 million that we have already received this settlement and also we have to write off our portion of the amortization, so then it effects on our net income was approximately $6.8 million. Going forward, we are going to amortize a small portion of $3.3 million of our P&L on the next two quarters and then we’ll have only the market rate for accounting purposes.
Joshua Katzeff – Deutsche Bank: Got it. And then maybe just switching to charter coverage, I guess one of the biggest differences between your counterparties in Q1 and Q2 is the absence of SPX being named. Can you maybe talk about your exposure to SPX and what is going on to that process?
Unidentified Company Representative: We have covered by so, and so I think this is a non-event on Navios Partners.
Joshua Katzeff – Deutsche Bank: Is the insurance covered by a related party or by it is just the Navios Partners, I’m sorry, Navios Holdings, or is this the third party?
Unidentified Company Representative: We cannot, I mean as you know, we have confidentiality but they are non-event for us I mean, it was totally estimated, so we’re absolutely covered.
Joshua Katzeff – Deutsche Bank: Okay. And then just I guess one more question regarding that. I guess because we don’t know which vessels are on to SPX that that insurance coverage is going through the entire duration or for these charters extending out beyond 2016?
Angeliki Frangou: We are covered, if we had something to disclose that will affect our finances we will already have disclosed it and you are (inaudible) with the company you are already have seen positive events and we have always covered.
Joshua Katzeff – Deutsche Bank: Got it. I guess that’s all I have. Thank you for your time.
Angeliki Frangou: Thank you.
Operator: Your next question comes from the line of Ken Hoexter with Merrill lynch.
Ken Hoexter – Bank of America Merrill Lynch: Great, good morning or good afternoon. Just Looking at the – are there any other customers that are struggling to pay similar to Korea Line? Anything with cost go on their status as they have had some losses for a few years? Just wondering where the market stands on your current position.
Angeliki Frangou: We don’t see something that, I think we (inaudible) was to before it has already happened we don’t see anything that’s particularly threatening or something that we see that maybe.
Ken Hoexter – Bank of America Merrill Lynch: Okay. So, but you did note in one of the slides distressed opportunities may arise. So, looking out at the market why not – do you see more activity now? Do you see opportunities in the market? Would you choose to lever up even further, given the 18% you mentioned a couple of times?
Angeliki Frangou: I think what were thinking about the opportunities don’t forget the banks and these, all the activities has already exists from a well almost five years from the crisis. So that doesn’t mean that you need a defaulted counterparty today. You’ll have a lot of vessels and these are really with in licensing the hands of the bank which is ultimate decision maker. So there we will continue to see opportunities in there. This is something we will be able to continue.
Ken Hoexter – Bank of America Merrill Lynch: Would you choose to go that distressed route and on the used market or would you look to build new? What would be your primary choice?
Unidentified Company Representative: I think, now we are very careful of the way we have buy vessel, I mean, let’s take a recent acquisition we have done. We have acquired vessels in the second hand at very drastic prices and we also bought Japanese (inaudible) at gape size $47 million and Supramax Japanese build at in about $27.5 million for 2014. So you realize we buy top-quality vessels from top-quality yards and we’re just get about relative value. We are now just financial play order in at any price.
Ken Hoexter – Bank of America Merrill Lynch: So, if we are starting to see the turn and I guess given George’s commentary about the turn or maybe supply demand equating and the falloff in the order book, how are the yards looking at pricing right now? Do you see extremely attractive new build prices or, I guess, just what is your view on that portion of the market now?
Unidentified Company Representative: I think, on new building vessels you will see mostly, I mean, Japan. I think you will see some capacity for 2015, 2016 and then you find opportunities while still some resale people look at stock I think you can find some more attractive opportunities than going and ordering flat forward delivery.
Ken Hoexter – Bank of America Merrill Lynch: So you are seeing more opportunities on the resale side than from the yards right now?
Unidentified Company Representative: Yeah.
Ken Hoexter – Bank of America Merrill Lynch: Okay. Can you confirm the dates or timing? Is everything still on track with the four vessels?
Unidentified Company Representative: Yes.
Ken Hoexter – Bank of America Merrill Lynch: So can you confirm what days we’re looking for delivery there?
Unidentified Company Representative: We have Q3 for one big size in Panamax, Q4 for Panamax and in January is Supramax.
Ken Hoexter – Bank of America Merrill Lynch: Okay. And, lastly, if I can just drop up with is there anything that you see that goes wrong in this recovery, just looking at George’s, again, commentary on how we have moved past the last couple of years and into this recovery and the rebound of the VDI recently. What you see that can trigger this to stall it?
Unidentified Company Representative: Actually, if you think that U.S. is actually moving at a reasonable pace for recovery. I think China has now reconfirmed that their growth would be 7% it’s not really – it’s good news they confirmed their growth. I think the most positive event that we have seen on the data release also today and I mean the news that are coming Europe. Europe is on track for a better growth on estimated and I think this of course is a big question mark in this regard, because U.S. is growing, China is growing at 7%, so there is no problem there, Japan is growing well and your question, Mark, was really Europe and Europe, I think, the activity is clearing up and we are seeing both Germany, England growing at better than expected.
Ken Hoexter – Bank of America Merrill Lynch: Yeah no I understand that it’s growing better than expected but there is nothing that I’m just wondering what could go wrong, what could we wake up and be surprised with in terms of if everything looks like it’s marching forward, where would you see something that could surprise? Or is there nothing that you see?
Angeliki Frangou: The real question Mark is on demand. Because the supply you see scrapping going well and non-delivery is going well, so your question Mark will be on the demand if you had a continuous recession in Europe, that will be Europe combine is as big as United States. So this is your biggest question Mark and (inaudible) goes lying mostly and that will affect also emerging markets because they are the major driving partner. So this activity seems to be going away, hearing much more positive news from Germany even France and we saw unemployment stabilizing in Spain. So the news is better than what we had couple of month ago.
Ken Hoexter – Bank of America Merrill Lynch: Appreciate the insight. Thanks.
Angeliki Frangou: Thank you.
Operator: Your final question comes in the line of Ben Nolan with Stifel Nicolas.
Ben Nolan – Stifel Nicolas: Thanks a lot. There has been a lot of talk about vessel acquisitions and where the market is and that sort of thing. I was just curious in keeping with that how you guys are evaluating where to hold potential acquisitions, either at the holding company or at the partnership. Or how do you really evaluate where – which is the right entity to make vessel acquisitions?
Unidentified Company Representative: I think, partners are very clear. You don’t have an unfunded. We always have vessels and we don’t like to have an unfunded CapEx and as you know very well it has to be a grade, so to all even if it’s holders, so this is something that makes it very clear thinking it doesn’t, we make sure that our break-even today, cash break-even are lower, so we can actually make a creative acquisition even easier or an obvious partner and will have very straight forward month to buy vessels that are creative was not unfunded CapEx.
Ben Nolan – Stifel Nicolas: Okay. And how does that vary from sort of the holding company’s mandate other than maybe not funding long-term new buildings?
Unidentified Company Representative: I mean an Navios Holding does not have the distribution and you don’t need to be as a creative I mean different rest from Navios Partners, you have a the bond I mean it’s a different total different way that can use you have different model, one is distribution is totally different.
Ben Nolan – Stifel Nicolas: Okay. So you can afford maybe to make an acquisition at the holding company that doesn’t generate an awful lot of cash flow that maybe has more long-term upside potential or something like that relative to meeting the cash flow at the partnership and that’s the dividing line, is that how you think about it?
Unidentified Company Representative: Yes, having taken example of the (inaudible) or the JBs we had with the Japan is on, I mean these are different kind of pattern that is Navios Holdings will grow versus in a more straightforward disciplined way on Navios partner.
Ben Nolan – Stifel Nicolas: Okay. That’s helpful. And then I was going to see where you think that your call it your dry powder is after you take delivery of the four remaining new buildings and draw or using the credit facility. How much firepower do you think you have available without having to access additional equity to do more than what’s already on the books do you think?
Angeliki Frangou: Within access we can do an addition to the Term Loan B. We have cash in our balance. I think this you can easily see that we have the ability to grow with additional vessel. Of course we always, as you know, protect our downside. We are careful not to expose our Company to the downside unnecessarily.
Ben Nolan – Stifel Nicolas: Sure. But you don’t have like a dollar amount necessarily that you can say it’s [however] much?
Angeliki Frangou: But we have articulate strategy of acquiring vessels. We are one of the few companies I’d say that we have a history, which we have implemented into that. I mean, we have acquired six vessels. So you realize that this is not something that we will stop doing.
Ben Nolan – Stifel Nicolas: Sure. And then the last question is a little bit more market-related as it relates to acquisitions though. It seems like we’ve seen a little bit of a tick up in secondhand asset values. Not substantial, but a move in a positive direction. It seems like also there seems to be a bit more capital available from, call it Wall Street or elsewhere, private owners. Have you seen there being an increase in the level of competition may be is it any more challenging at all to be able to find really quality acquisitions more easily or in less competitive environments or is it still just really a lack of capital available in most cases and you sort of have your pick of opportunities?
Angeliki Frangou: Yes, be honest, I mean very straightforward if you are talking about new buildings and just buying new buildings at really take zero energy or knowledge of doing it. I mean this can be done by anyone. And that’s were the concentration of more financial players are. In the case of Navios, we have demonstrated beyond any doubt that we can do multiple strategies as well, acquire secondhand vessels that are going to be attractive, being able to acquire real results even a slight movement on the values and being able to really cast new buildings vessels that can be much prompted delivery from the better yard. So I think, yes there will be some cash from Wall Street to be invested which is not bad. Actually it creates an activity, I don’t think that we are competing very much on the kind of deals we are doing.
Ben Nolan – Stifel Nicolas: Okay. So you haven’t really seen a material change in the competitive environment for vessel acquisitions, I guess then. Is that right?
Angeliki Frangou: Yes.
Ben Nolan – Stifel Nicolas: Okay, all right, now thanks a lot for answering my questions.
Angeliki Frangou: Thank you.
Operator: Thank you. That was our final question and I’d like to turn the floor back over to Angeliki Frangou for any closing remarks.
Angeliki Frangou: Thank you, very much. This completes the second quarter results.